Operator: Good morning. My name is Kristin, and I will be your conference operator today. At this time, I would like to welcome everyone to the EMCOR Group First Quarter 2014 Earnings Conference Call. [Operator Instructions] Thank you. Mr. Nathan Elwell, you may begin your conference.
Nathan Elwell: Thank you, Kristin, and good morning, everyone. Welcome to the EMCOR Group conference call. We are here today to discuss the company's 2014 first quarter results, which were reported this morning. I would like to turn the call over to Kevin Matz, Executive Vice President of Shared Services, who will introduce management. Kevin, please go ahead.
R. Kevin Matz: Thank you, Nathan, and good morning, everyone. Welcome to EMCOR Group's earnings conference call for the first quarter of 2014. I can't believe it. We're already this far into the year. For those of you who are accessing the call via the internet and our website, welcome, and we hope you have arrived beginning of our slide presentation that will accompany our remarks today. Please advance to Slide 2, Slide 3 [ph], rather, that depicts the executives who are with me to discuss the quarter results. They are Tony Guzzi, President and Chief Executive Officer; Mark Pompa, our Executive Vice President and Chief Financial Officer; Mava Heffler, Vice President of Marketing and Communication; and our Executive Vice President and General Counsel, Sheldon Cammaker. For call participants not accessing the conference call via the Internet, this presentation, including its slides, will be archived in the Investor Relations section of our website under Presentations. You can find it at emcorgroup.com. Before we begin, I want to remind you that this discussion may contain certain forward-looking statements. Any such statements are based upon information available to EMCOR management's perceptions as of this date, and EMCOR assumes no obligation to update any such forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Accordingly, these statements are no guarantee of future performance. Such risks and uncertainties include, but are not limited to, adverse changes of economic conditions, changes in the political environment, changes in the specific market for EMCOR services, adverse business conditions, increased competition, mix of business and risks associated with foreign operations. Certain of the risks and factors associated with EMCOR's business are also discussed in the company's 2013 Form 10-K and in other reports filed from time to time with the Securities and Exchange Commission. With that out of the way, please let me turn the call over to Tony. Tony?
Anthony J. Guzzi: Thanks, Kevin. Good morning. To start, we should be on Pages 3 to 5, and that's what I'm going to cover in these upfront comments. We're off to a good start here at EMCOR in the first quarter. And we're really fighting through the continued effects of sequestration, weather disruptions for parts of our business and the non-residential market in general, where recovery is still looking for sustained momentum. However, a long time ago, here at EMCOR, we decided to focus on what we control and that we could and would perform in this environment. I'm going to be speaking to pro forma numbers today to account for the effects of the closure of the U.K. construction business, which is nearing completion. If you look at domestic backlog, it's up from last year's comparable period and year-end 2013. U.K. backlog is down as expected, as we near the completion of our exit from the U.K. construction market. We are $0.64 of diluted share here in Q1 versus the comparable number of $0.50 per share in the same period last year. RepconStrickland contributed $0.07 of the $0.64 per share. This is our best Q1 on record in earnings per share. Our operating margins were 4.5% on a pro forma basis. We are pleased with this start and believe the operating margins showed good operating discipline and performance. It is our second best Q1 with respect to operating margin and provides a good foundation as we navigate a choppy and uncertain 2014. That just feels like something you say every year now since 2009. Revenue was almost $1.6 billion. We were down 5.6% organically, which really wasn't a big shock to us. That is mostly for expected reasons and 1 expected reason, which was the weather, and I'll talk about how that offset. The expected reasons include: the continued wind-down of the U.K. Construction business; the completion and near completion of the 2 problem jobs in our Mechanical segment; and the organic decline in our Industrial segment, which is the result of exceptional strong performance in Q1 2013, which was not replicated this year. However, we had pretty good performance, and we have good backlog that should manifest itself through customer deliveries as the year progresses. And we had the continued effects of the portfolio shaping our site-based business that we've discussed over the past 15 months. If we figure out how that stuff works its way out, we should be done talking about that this year in the third quarter. Weather was a net positive for us on the operating income line. And if you look at the revenue line, we lost revenue in our Construction business, gained revenue in our Building Services business that likely offset and the net impact was we gained on the operating income line because the Building Services work was a little more profitable. Some highlights by segment. Mechanical and Electrical both had good starts to the year, with good year-over-year operating margin improvement, where we expected to see this improvement in Mechanical, as we are finished with 1 of our 2 problem jobs last year and are nearing completion on the Department of Energy job that we have so thoroughly discussed. Electrical management and our construction team continues to [audio gap] its record of strong performance in a very tough market. With Q1 performance at 5% on a combined basis, we like this start. However, we always caution investors that you really shouldn't look at this business on a quarter-by-quarter basis for operating margins, but look back and see what the trend is and I think you'll see the trend is good, solid, long-term performance. We did fight weather in the segment, as we had some days where we could not report to the job site and that work affected revenue, although we expect to catch most of that up as the year goes on. Building Services had a 4.5% operating margin, which is a record Q1 performance for overall operating income and is very strong performance overall. Look, let's be clear, the weather helped us and it showed up in our site-based business. We help customers with their snow removal, which is a very complex task when you're managing that over thousands of sites. Let's be -- we also entered the year with more sites this year, which means we sold better, and we sold over a broader geography. However, you have to execute, and we did in a very demanding weather, very demanding winter. And we have happy customers, and we'd be very happy if that weather pattern replicated itself again in the latter part of this year. Again, it's a story of more than just advantageous weather. It also has good execution. But the story on Building Services go beyond site-based and snow. We had improved margins in both our Mechanical Services and Government Service business also. This continues the 3-quarter trend for the segment of improved operating margin performance when compared to the year-ago period. Industrial Services was at 10.1% operating margins, which was good performance, but we know we can do better if we saw a little better mix of demand, and we need just a little bit more volume and we could see those operating margins go up. We knew we were entering a period of very difficult comparison to the third quarter of last year, and we talked about that, Q3 2012 through Q1 2013 and our legacy Ohmstede business was exceptional. It's exceptional because we were able to deliver for customers under the most demanding circumstances when they really needed us. We're pretty sure that we'll have the opportunity to replicate that again, and that's how our business is designed that we can really respond to those customers. And when that happens, we will be there to respond. But underlying that, we have a good solid business. If you look at Q1, we performed well. Our shop volume was a little less this quarter. They're still okay, just not as strong as last year. Repcon is contributing, like I said, at about $0.07 per share, and the integration is on track. We see this market as very strong, and it will remain prone, though, to surges in demand and last-minute customer decision-making which sometimes can change the scope of what we were going to do. In the U.K., our construction closure is about 95% complete now, and we expect it to be complete in sometime in Q3 2014, and it has been a well executed program and really is the right thing for us for the long term. Pro forma operating margins on the go-forward U.K. was in -- were in excess of 3.5% this quarter. Our balance sheet remains liquid and strong, and we had much improved cash flow performance this year, using only $24 million in cash this year versus $95 million last year. And with that, I'll turn it over Mark.
Mark A. Pompa: Thank you, Tony, and good morning to everyone participating this morning. For those accessing this presentation via the webcast, we are now on Slide 6. And as Tony indicated, I will begin with a detailed discussion of our first quarter 2014 results before I move into key financial data derived from our consolidated financial statements, included in both our earnings release announcement and Form 10-Q filed with the Securities and Exchange Commission earlier this morning. Consolidated revenues of $1.6 billion in the quarter are up 2% from 2013. Revenues attributable to businesses acquired of $119 million positively impacted our U.S. Industrial Services and U.S. Mechanical Construction Services segments during the first quarter. Excluding the impact of businesses acquired, first quarter revenues declined organically $88 million, or 5.6%. Domestic Electrical Construction revenues of $308.1 million were slightly increased from quarter 1 2013. Domestic Mechanical Construction revenues decreased approximately $28 million, or 5.2%, from last year's quarter as a result of a decline in manufacturing and institutional construction projects, some of which were attributable to a planned reduction in scope of activities within a subsidiary that reported significant project losses in 2013 in the southeastern United States. U.S. Building Services revenues of $448.1 million decreased $7.1 million quarter-over-quarter due to lower levels of project activity of -- at certain of our mobile Mechanical Services and Energy Services operations. These volume reductions negated revenue gains within our commercial site-based Services division attributable to increased snow removal activities. U.S. Industrial Services revenues increased 59.5% to $232 million during our first quarter, which is attributable to the addition of RepconStrickland, which added $110.5 million of revenues. Excluding this incremental revenue, the organic decrease is approximately 16.6% due to 2013's first quarter benefiting from more shop repair activity as the byproduct of last year's compliment of turnaround activities. With regard to EMCOR U.K., as Tony mentioned, we continue to advance towards completion of our withdrawal from engineering and construction activities. And consistent with the last 12 months, U.K. quarterly revenues continued to decline significantly, with this quarter's reduction representing 17.5%. We believe we're still on track with this initiative and are targeting a third quarter completion. Please turn to Slide 7. Selling, general and administrative expenses of $144.9 million represent 9.1% of revenues and reflect an increase of $6.4 million from quarter 1 2013. The quarter just ended is inclusive of $11.7 million incremental SG&A, including a tangible asset amortization expense from those acquisitions completed during 2013. Therefore, on an organic basis, selling, general and administrative expenses declined $5.3 million quarter-over-quarter. As a percentage of revenue, SG&A in our first quarter is 9.1%. Excluding the impact of acquisitions, our SG&A as a percentage of revenues would be 9% or 20 basis points higher than quarter 1 2013. Operating income of $69.4 million represents 4.3% of revenues and favorably compares to $51.3 million of operating income of 3.3% of revenues in 2013's first quarter. All reportable segments generated increases in operating income quarter-over-quarter and other than U.S. Industrial Services are also reporting higher operating margins. Total intangible asset amortization for the quarter was $9.5 million, which is greater than quarter 1 2013 by $3.2 million. Our U.S. Electrical Construction Services segment operating income increased $2.7 million, or 14.3%, over quarter 1 2013 with an operating margin of 7% or 80 basis points greater than last year's 6.2% operating margin. This increase in absolute dollars and in margin percentage is due to gross profit and gross margin improvements within our current portfolio of projects. 2014's first quarter U.S. Mechanical Construction Services segment operating margin of 3.7% represents an $8 million increase from last year's quarter. This represents a 71.5% improvement year-over-year. 2013's first quarter was negatively impacted by an $8.2 million project loss located in the southeastern United States, which Tony touched on just a few moments ago. Our total U.S. Construction business is reporting a 5% operating margin for the quarter just ended as compared to 3.5% in 2013's first quarter. Operating income for U.S. Building Services increased $7.4 million, or 57.6%, over 2013's first quarter, with a quarterly operating margin of 4.5%. All divisions within this reportable segment generated higher operating income and margin quarter-over-quarter, with Commercial site-based Services and Mechanical Services contributing the largest increases. Our Industrial Services segment is reporting a $0.6 million increase in operating income with a 550 basis point reduction in operating margin. The reduction in operating margin is due to lower volume of shop repair activity, as well as increased overhead levels due to the RSI acquisition. This aforementioned acquisition contributed $7.3 million of operating income during the first quarter, which equates to approximately $0.07 per diluted share. EMCOR U.K. was profitable during the first quarter and had a slight improvement in operating margin year-over-year. Please note that the losses generated within the U.K.'s Engineering and Construction division are included within this segment's disclosure. Our first quarter includes $900,000 of restructuring expenses, of which approximately $700,000 pertains to the U.K. strategic reshaping. We are now on Slide 8. As in the last couple of quarters, this table lays out those items that are impacting our quarterly results, which we believe should be excluded from EMCOR's reported operating income to provide clearer comparability. Each of these items have been addressed in today's earlier commentaries by both myself and Tony and for the sake of completeness are as follows: Losses generated by EMCOR U.K.'s engineering construction operations within the first quarter of approximately $2.1 million and $3.9 million, respectfully; and restructuring expenses of $685,000 and $1.3 million, respectfully, pertaining to reductions in workforce as a result of our strategic change in the U.K. The effect of these -- of the aforementioned adjustments amounts to adjusted operating income of approximately $72.1 million or 4.5% of revenues for the quarter ended March 31, 2014 as compared to $56.5 million or 3.7% of revenues for the corresponding 2013 period. Cash used in operations for the first quarter was $24.3 million as compared to $95.1 million of cash used during the first 3 months of 2013. As [indiscernible] first quarter calls, I would like to remind everyone that, from a cash flow perspective, our first quarter is historically our weakest due to payment of prior-year incentive awards, as well as the seasonal increase in working capital utilization within both our U.S. Industrial and U.S. Building Services segments. Additionally, as a reminder, 2013's first quarter operating cash flow was negatively impacted by the deferral of certain fourth quarter 2012 income tax payments until February 2013 due to Superstorm Sandy. Please turn to Slide 9. Additional key financial data on this slide not addressed during my highlight summary as follows: Quarter 1 gross profit of $205.2 (sic) [ $215.2 ] million represents 13.5% of revenues, which is improved from the comparable 2013 quarter by $24.1 million and 130 basis points of gross margin. Total restructuring costs were $900,000. And as previously discussed, approximately $700,000 pertains to our United Kingdom operations. Diluted earnings per common share is $0.61 as compared to $0.44 per diluted share for the quarters ended March 31, 2014 and 2013, respectfully. And that, on an adjusted basis, reflecting the add back of losses incurred within our U.K. construction and engineering operations and associated restructuring costs, diluted earnings per share would be $0.64 for the quarter as compared to $0.50 per diluted share on 2013's first quarter. The pro forma impact of our U.K. engineering and construction losses and associated restructuring expenses is approximately $2.5 million greater for 2013's first quarter as compared to the current quarter in such detail as disclosed on Slide 8. We are now on Slide 10. EMCOR's balance sheet remains sufficiently liquid as represented by cash in excess of $400 million and modest leverage as represented by our debt to capitalization ratio of 18.6%. Working capital levels have increased since December 31 due to a reduction in current liabilities as a result of reduced levels of accounts payable and accrued payroll and benefits. Goodwill has reduced slightly during the quarter as a result of the disposition of a subsidiary within our Building Services segment. Identifiable intangible assets are unchanged between periods other than amortization expense of $9.5 million in the quarter. And total debt is just under $350 million, with the majority of the reduction due to the mandatory quarterly repayment of approximately $4.4 million under our term loan. We are happy with what our balance sheet is for this time of year and are well positioned to take advantage of all opportunities in front of us. With my slides concluded, I'd like to wish Tony a happy birthday before I return the presentation to him. Tony, happy birthday.
Anthony J. Guzzi: Thanks, Mark. That's a good day to be announcing. So thank God, right? We performed. It was tough. Let's talk about backlog. Backlog is basically at $3.37 billion. It's virtually unchanged. If you look at this over the last 3 quarters and you account for what we've done in the U.K., what you see is a slight upward bias in our domestic construction backlog, a planned reduction in our Building Services backlog. And we look underneath the Building Services backlog, you get a set -- our small projects backlog is coming back with a better mix. You put that together with our construction backlog, which should be an idea of what's going on in nonres and the shape of it, and what you get a sense is private work is coming back a little stronger, institutional has come down. And really, that mix is good for margin long term, but we do need some of the public work because it helps with absorption. And look, some of the best work we've done at EMCOR has been public infrastructure work for our customers and also large campus type work they did. So that's a general shape of backlog. Industrial is up a little bit. And remember, as a segment, that's really our shop volume at Ohmstede. Again, oil and gas business is busy. We serve all the way from almost past upstream to downstream, and it works out pretty good. As we stated in our year-end call, we like the trajectory of both the construction backlog of Building Services and Industrial, and the U.K. is doing as planned. If you go by sector, what you see is this continued trend of commercial up. And really, underlying that is good margin mix. What's happening there is we moved out 2 very large contracts that were just marginally profitable for us and one was actually a little bit of a loss and we got out of it very quickly. And we realized the customer was not aligned to what they needed to do long term to reduce real costs. And the other one, it was just too difficult of a relationship for us to make money on a sustained basis. And that's what we do. We love to serve our customers and serve them well. We bring a lot to bear. We also expect to be paid accordingly. But underlying that commercial is really the project work coming back. And a lot of singles and doubles in our site-based business that have decent underlying profitability and give us the opportunity for leverage of flow-through work. So backlog, right direction, no huge momentum but good mix underlying it. Least positive momentum overall, and we continue to have a better portfolio reshaping going on in businesses that are longer term when we make a customer obligation. Now we'll get to the page that most people care about anyway. And sometimes, I think we should just start with this and take questions. If we go to Page 13 and 14, we're going to bring the bottom end of the range up a little bit. Now from $2.40 to $2.45. The new range will be $2.45 to $2.70. And what you see is, we're getting more confidence in the bottom end of the range, obviously, with this good start. But we also see that we, hopefully, can get the revenue back on track and get to $6.8 billion because it really wasn't a lot that happened other than the weather on the negative side that shocked us in the first quarter. And if you look at these, let's talk about the backlog between small projects and U.S. Construction, that's a 5% or 6% increase, so that should portend future revenue growth as long as the general economy stays on track. I do have concern about the pace and timing of this non-residential recovery, and it's really -- I've been concerned about that since 2009. It's growing in fits and starts and really can't sustain any momentum. The other thing I would caution as you look at EMCOR as we get into this next quarter, we don't give quarterly guidance, but I would point out is, Q2 tends to be a weaker quarter for both Industrial and Building Services on an operating margin basis. The question really is, how do you get to the top end of the range? And really, nothing has changed other than we have a couple of things under our belt. One of the things we said is we needed an average to better-than-average winter. Well, we had that. It was better than average, and we needed a little bit of good momentum in the back half of the year on that and some of that we'll get with just seasonal contracts, so it's not just waiting for snow. The second thing we said is we needed a decent to strong spring and fall turn-around seasons. I would say we had a decent spring season. It wasn't exceptional, but it wasn't bad either. We had some work get pushed out to the fourth and first quarter. And I'm sure we'll be happy in the first quarter of next year with this start that we had with them. We do expect the decent to strong fall turn-around season. And if our customers just execute what they currently have planned, we should have a pretty good season. But again, I'm always cautious because there could be surges up and if it could still -- production down based on the general market. And some of it, they could doing very well. They just want to keep the refinery running longer as they look at their fleet of refiners -- refining plants. We need continued strong execution in our Electrical, Mechanical and Construction businesses. And if you really look at it, they've been really performing well in a very difficult period. And really, we need the whole, the improvements gain and continued the positive momentum in our Building Services operating performance and margins. And then the big things we need to do -- and I talked about the U.K. construction closure with 95% complete, we think we're well on track there. Overall, we like the start. We like where we are in the business. We continue to believe that we exercise very good bidding discipline across our business, and we are well positioned to execute for our customers across all those businesses. And with that, we'll take questions, Kristin. Kristin?
Operator: [Operator Instructions] And our first question comes from the line of John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: A couple of things. Tony, I mean, I understand your caution relative to the whole non-residential cycle. What are you seeing out in the, I guess, in the fields in terms of bidding activity? Is it -- I mean, are there prospects or projects that are out there that could potentially be developed and are waiting, or is it just very, very quiet...
Anthony J. Guzzi: It's not quiet, John. It continues to get busier. Outside decision-making is as slow as it's been. And it reminds me of my days in the Army sometimes. Our customers have a hurry up and wait mentality. They get us to do all kind of activity. We get ready to go and then it's wait. And then, once they say go, they want instant gratification. And that's really across all the businesses. And I think that has to do with reticence to commit the capital until the last possible minute. So our prospects we're developing which forced us to do is get a lot more discipline on what we think is an investable prospect. And again, that's across our 4 big segments and in the U.K. And so, we spend a lot of time not only in services where you have to do prequalification now. We do a lot of time prequalifying on what we think is the right jobs for us to be committing our resources against in the construction business, especially on the larger jobs. We certainly don't want to be an estimating service.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And any comment -- I mean, the last peak cycle, we saw the hospitality markets and you're positioned differently now, especially with some of the industrial work, what are you positioning yourself for over the next 2, 3 years...
Anthony J. Guzzi: Well, we've been positioning ourselves for a broad general recovery. We think it's going to be led more by industrial, and that's why we made the investments we made over the 6 or 7 years. But we can participate anywhere the demand comes from. My gut today tells me, Energy will be a big driver or the driver. I think Commercial will be strong. I think there's a lot of indicators that office space needs a lot of rehab and some new stuff needs built. And I think that healthcare, if we ever get settling on this ObamaCare, Affordable Care Act, then people will get conviction to maybe spend again because previous to sort of some of the uncertainty, we know there's a lot of healthcare infrastructure that is not going to meet the demand of the increased number of people. But more importantly, the technology they need to use. And that hasn't changed, and you bring in things like HIPAA and other things. We have a lot of aged healthcare infrastructure that will be rehabilitated. But there's a lot of uncertainty there, and we really have seen the opportunities there slow down.
Mark A. Pompa: John, the only thing I would add to Tony's commentary is that, other than our exit from Canada and our reduction in services in the U.K., we haven't lost any of those other capabilities. So if hospitality does recover at some point in time in the future, we will be able to participate as extensively as we did the last time around.
John B. Rogers - D.A. Davidson & Co., Research Division: Got it. And, Mark, it looks like and based on the numbers you're giving us -- and I assumed built quite a bit of cash this year. Any sense on priorities there? I mean, do you -- if the construction cycle starts up, does it take a lot of working capital for you now?
Mark A. Pompa: Well, currently, no. But the question is -- I think your question is, when revenue does pop in those segments, they will consume working capital. And clearly, I think when we talked about priorities in the past with regards to capital allocation, organic revenue growth is always, always at the top of the list. So we're hopeful that we're going to -- the market is going to give us that opportunity. Clearly, the first quarter of last year's cash flow performance was somewhat of an aberration on the downside. Having said that, if you look past that -- if you look at the past first quarters over the last several years, our performance in the first quarter of 2014 was -- on a cash flow basis, was much better than we've been. So that's -- that bodes well for the remainder of the year.
John B. Rogers - D.A. Davidson & Co., Research Division: And it does tend to pick up as you go -- I mean, normal seasonally as you go through the year?
Mark A. Pompa: Yes, yes, absolutely.
Operator: Your next question comes from the line of Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: I wanted to start off with Repcon. You had a good Q1, obviously, with Repcon. What's your expectation now for a full year accretion?
Mark A. Pompa: I think we've said this in different forms. We were back pouring through our -- we expect $0.15 to $0.20 yet. Maybe one could say we're being a little conservative, and let's start there. We don't want to be explaining the other way. I'd say we had an okay-to-good first quarter at Repcon. We can certainly do better. And I think our team, the Repcon team and the EMCOR team, as they're merged now, I think they'd say the same thing. They had some things moved out. We lost some opportunities in 1 part of RepconStrickland that we probably could have won in hindsight. We thought we had a large turnaround ready to go, and it didn't happen. And we probably could have reacted quicker to that. So we're happy, but we're not satisfied is the way I would term what -- how we performed at Repcon. The good news is, the underlying original EMCOR Ohmstede business continues to be a good performer.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then, as we look to Q2 for the Industrial business, I would think -- I mean, that's where most of the spring turnaround season gets captured, right? So should margins be up in Q2?
Mark A. Pompa: No, no, Adam. No, Adam. That's why I talked about that in my remarks. Q1 is the strongest. There could be some tail spillover into Q2 based on the year. This would probably be an average spillover year. And we do expect margins to come down in Q2 on an operating basis in Industrial because of volume. The only thing that would counteract that is if we had exceptional shipments from the shop site, which we expect normal shipments from the shop site in Q2.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Why is that, right? So because the guys who do that business everyday like a team, I mean...
Anthony J. Guzzi: [indiscernible] bigger than that...
Adam R. Thalhimer - BB&T Capital Markets, Research Division: The strong months are, like, April and May, right?
Anthony J. Guzzi: I don't know why that would be with them. Maybe what they do is at the end of a turnaround and they do all the inspection. Our strongest months typically are February, March, maybe the first week of April, second week of April, and then it picks up again last week of September through the first week of December. Now you do have situations where the customer will put parts of the turnaround out in the second quarter or will kickstart early or something happened that's not good and we have to mobilize and good for that, not good for them, but where we can help them make it less bad, which means good for our performance. But that will happen in the summer sometimes because of the heat.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then, just lastly, I wanted to ask about sequestration. I mean, is the expectation still that it's kind of a neutral this year or...
Anthony J. Guzzi: Yes. We think it's a neutral. We won a couple of contracts that helped us here in the first quarter. But we think, for the year, it's slightly up, slightly down. So let's call it neutral.
Operator: Your next question comes from the line of Alex Rygiel with FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Hey, Tony, I know you didn't -- following RepconStrickland back in the first quarter of 2013. But just -- could you characterize how the performance was year-over-year, if you had owned them in the first quarter of 2013?
Anthony J. Guzzi: Well, I mean, everybody did exceptional in the first quarter of '13. I'd say they did pretty good this year. They might have done great last year, and we think they could do great again. So we knew that. And if we would have not had one of the larger turnarounds pushed out, we'd be saying we did great this year, too.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Okay. And backlog has been flattish for a little while now, although in the U.S., it's been improving slightly. Can you comment on, sort of, competition? Are you seeing any easing of competition out there? And can we start to hope that maybe the pricing dynamic or margin in backlog is starting to show some positive trends as well?
Mark A. Pompa: The positive, I'd say, Alex, when you strip away those couple of jobs that we had last years, in construction where that is most relevant, we even managed to navigate this intense competitive environment with pretty good operating margins. And we're doing a lot of that with great productivity. Pricing, clearly, in my mind, bottomed sometime late '09 through 3 quarters of the year in '10, and some of that work is being worked out not as we intended. If you remember how we shrunk and brought the company down. And if you strip out the acquisitions out of backlog, you would've seen a more pronounced drop in that backlog. I think it's better. I think you still have to be really careful. I think some competitors could make a lot more sense if they realize labor is starting to tighten in some of these markets, and they will. But what we tend to do is what I call hang around the hoop. If we didn't win the big job, we'll do another 5 smaller jobs that came out if someone took our larger job at a bad number. Sometimes, that's tough to do, is to have that patience, but we don't run the business for revenue. And because of that, especially in Construction business, we worry about the right opportunity to use at the right time, to use the capacity that we have. And we've been rewarded. There was lot of our markets. There was a very, very large job that went into that market. We were part of the team that tried to win it. We didn't. And we had 2 now -- 3 exceptional years in that market doing all the other work that the other 2 large competitors were now tied up doing the large job that really didn't turn out well for anybody. We think it would have turned out well for us, the number we had. But obviously, we didn't win it because we had it priced appropriately. So you always have to be careful even in a good market. I'd say pricing is a little bit better. But I hope we get a little better environment. With the execution we have now and our focus on productivity, that should bode well for us in the future.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: One last question. I know you don't provide quarterly guidance per se, but your seasonality has changed a little bit over the last couple of years. Your commentary about buildings and industrial margin possibly being down a little bit in 2Q versus 1Q, can you help us just sort of think about EPS in 2Q versus 1Q? I mean, is it going to be a stretch to grow earnings sequentially? Or should we look at flattish kind of earnings?
Mark A. Pompa: I'd say flattish to slightly up is probably what our expectation would be. Once again, when we put a model together, as you correctly pointed out, our seasonality has changed quite a bit over the last few years with some of the investments that we made. But clearly, the weather drag in the first quarter on construction should not replicate itself in quarter 2. So we're hopeful that we're going to be able to make some of that up as we progress in the calendar.
Anthony J. Guzzi: Yes. And the other thing, I think, Alex, it doesn't take much to shift things from 1 quarter to another in our business right now. So something could go from 2Q to Q3, and it could be as simple as we didn't get -- we have 300 less guys on the job in June, and they're not coming up in industrial. Now they're going to be in July. Or we didn't start. And so we're really hesitant, and that's why it'd be really hard for us to ever have quarterly guidance. We get a sense for the year. We can get a sense -- look, we've been building the first quarter here for a while. I think this first quarter was one of the first where we had just about everything doing okay to better than okay. And one day, we'll get them all doing great in the first quarter, and then we'll really have a foundation for the rest of the year.
Operator: Your next question comes from the line of Glenn Wortman with Sidoti.
Glenn Wortman - Sidoti & Company, LLC: Just to be clear, so on the Industrial Services business, you talked about a sequential margin decline but you're also expecting a pretty significant sequential revenue decline as well [indiscernible] and then, it sounds like you're pretty far along in this portfolio reshaping and Building Services. Would you -- when would you expect that business to return to year-over-year top line growth?
Anthony J. Guzzi: Likely somewhere in third, fourth quarter.
Glenn Wortman - Sidoti & Company, LLC: Okay. And then, just looking out over the next several years, if non-res construction comes back in a more meaningful way, the way your construction businesses are structured today, can you give us a sense of what you think the organic top line growth potential is?
Mark A. Pompa: We thought for a while that we can grow 8% to 12% depending on the mix of work with adding very little cost other than a little bit of incremental project execution and, of course, incentive compensation because we'll be doing better for the folks in the field. So if you think about our domestic construction business, can we add $300 million to $500 million? Yes, we think we can with the write in of how many projects and where they're at. We think we can exceed GDP by a couple of points in our Construction business or non-res construction grows 3%. We think we can grow 3.5% to 4%. The merit of that was last year. We hung in it, grew it a little bit, and it was a down non-res market last year. So we tend to do a little bit of a market as the market strengthens. It may not start out that way. But as you get into a strengthening market, we tend to do it little better. So, yes, we have capacity that we can bring to bear. And remember, our workforce is flexible. And we usually have a very -- across all our businesses, we have a very good draw on labor because we do -- in essence, people have a problem, when they think about organic growth, it's not just the salary and management infrastructure, it's where are you going to get the next foreman, where are you going to get the next really skilled craftspeople that we have. We get them because they know 3 things are going to happen. One, the people that lead them are very strong technically and they're good field leaders. The second thing they know is we create a safe working environment and have, knock on wood, industry-leading safety. And we're off to a fantastic start this year on safety and have really had a great 9-year run, but we're vigilant every day. And the third thing they know and there's always been -- they're always going to have the right equipment. We are always going to invest in the right safety equipment and make sure our people are outfitted with the best. The third thing they know, and this is not trivial, they know they're going to get paid every week. And they know if there is extra hours to be gained, the best performing of them are going to get them. And when you're a skilled tradesperson, that's the kind of contractor you want to work for and that's the kind of contractor EMCOR is across the nation and in U.K. And I think that's what gives us the ability to flex up when demand comes back, more than anything else.
Operator: Your next question comes from the line of Nick Coppola with Thompson Research.
Nicholas A. Coppola - Thompson Research Group, LLC: If you look at the Building Services segment broken out the way it is now, there's been over 100 basis point margin improvement over the last 3 quarters. And apart from weather, it certainly looks like we've turned the corner there in terms of performance. And can you maybe elaborate a little bit on puts and takes there between portfolio reshaping in the U.S. and improvement in kind of the government business? So just what kind of slope are you looking for to get back to that 5% target?
Mark A. Pompa: Well, we're trying to get to the 5% target. I'm not sure we've ever been there on a sustained basis. We think we have underlying. We got to get to 4% -- we got to get over 4% sustained, get to 4.5% sustained. And then, we'll get to 5%. I'll tell you what's going on. It's pretty -- we have guys that are focused everyday on operational improvement. And so, how do you do that in a business that has lots of contracts, lots of small projects and really operates in the commercial government, light industrial and then site-based services? You do it 3 ways. First thing you do is you look where can technology help me get better productivity? That's for your routing software. That's your things like GPS, with the amount of gasoline, the diesel we use, you focus everyday on getting an incremental half a mile per gallon. It's 15, 20, 30 ideas that lead to that kind of productivity. The second thing you do is you say, "Look, we do something that's valuable everyday for people. We should get paid for it. So let's apply the same discipline that we've used in construction over 9 or 10 years to fix that. Let's use that in the services part of our business before we get into a long-term relationship with something. And when it's not working, let's make sure we have the outs so that we can get out effectively. And then, let's focus on what the customer wants to buy and not try to sell them initially more than they want. So we can get in and then improve ourselves to gain leverage work, where now we have a trusted relationship with the customer instead of just doing bid work." The third thing is it comes down to project selection, right? We are as good as anybody or better than anybody at small project execution. I think folks at EMCOR would tell you sometimes small project execution is more difficult than doing an $80 million construction job. Why? You don't always have full-time dedicated project management on small projects. You're doing an existing building or an existing structure. You have to work around other people who need to still be productive. That is a skill set. And what happens in the first part of this downturn is larger contractors moved down and thought they could do it, they failed. And we competed there or moved in the adjacent sectors, maybe government in the small project work without ID/IQ [ph] government buildings or municipal, and it's a different environment. We're back to our -- sticking to our knitting, and all of that work, all that small project work, you better understand how to tell the energy efficiency story and show people the gain they're going to get, and we can do that better than anybody. And we've been doing that in the face of government headwind, which really -- the first part of this downturn was the best performing business we had in that segment. The government guys have held in there. They're executing well. And there's nothing there that a little bit of volume couldn't help. We think that we'll also benefit there as that business will consolidate, and we will participate in that. So if we showed you the task list that our people work on everyday to improve margins and bring discipline into that business now that we are scale, I think you'd be impressed.
Nicholas A. Coppola - Thompson Research Group, LLC: Okay. That's very helpful. And then, a follow-up question. Just shifting gears a bit, what kind of acquisition opportunities are you seeing in the marketplace? I mean, are you finding deals at the right price? And maybe give us a refresher on industries and geographies that you think could make sense.
Anthony J. Guzzi: Well, look, take our 4 big segments, even take U.K. for niche products would be acquirers in all of it, right? We like that on products or services or geographies than anywhere we are, and that's really been the history of how we built the company. Right now, I would tell you the acquisition market in our industries is very slow. And yet, that could be a number of reasons. One is, it was pretty busy last year. And we were fortunate enough to be able to realize a culmination of a long-term strategy in buying RepconStrickland and then adding it to our outstanding team at Ohmstede. Deals happen when they happen. I will tell you we aren't, unless it's a niche product line we can get, of course, we can operate it as a branch operation from one of our larger companies. We're probably out of the small deal game. So if you see us doing one, it usually means we've consolidated it into 1 of our larger businesses and either gave them a customer set, a capability or geography we don't have today. We would love to still expand our electrical footprint, haven't had the right opportunities in the Pacific Northwest or New England or even more industrial electrical capability. We would love to be in a couple of mechanical markets, we'd still like to be in, although we're pretty well covered there. On the Building Services side, I think there's still a couple of Mechanical Service geographies we'd like to be in. We're not big enough in Texas. We are not big enough in the Rocky Mountain region. We still don't have much of a presence in the Pacific Northwest. We had proven at depth opening a couple of branches that have an infinite return once we get up and get them running. You get the site-based services. There's a couple of niche services we'd still like to be able to perform that could enhance our margins or we would like to be able to get into a geography where we could get a bigger vendor base to even perform better to our site-based Services business. Government, it's all about capability there. It doesn't make sense to drive somebody's big portfolio as we will have the opportunity to bid on those contracts in the future. In the government space, there's a couple of large contractors that are struggling that were private equity owned. They had levered against Afghanistan and Iraq. And their debt structure was built on that. And if they fail, that should be good news for EMCOR because we will be there to pick up the pieces. And in Industrial, there are still some capabilities we'd like to have and there's geography we'd like to have either on the job shop manufacturing repair side to support our field business or either on the field side. So we still have opportunities, but they happen when they happen.
Operator: Your next question comes from the line of Noelle Dilts from Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: First, I don't think you commented on this, but I apologize if I missed it. But could you comment on the pace of activity you're seeing in April, if you've seen a bit of a catch-up on the pickup in small to medium project activity? Is the catch-up related to the harsh weather in the -- early in the year?
Mark A. Pompa: We don't really look at the numbers week to week. So I don't have much of a view on April yet. We really didn't see as far as go back to an earlier question on bidding activity, we didn't really see a slowdown in bidding activity because of weather. And small project work, I think it's been improving. I would also say our view on project work has been improving as we're back to our knitting on what we do the best.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then, could you comment a bit on what you're seeing in terms of activity by geography on the non-res side, if there are areas of relative strength and softness?
Anthony J. Guzzi: New York, relatively strong. There are some -- both private and public infrastructure work. We're well positioned to take advantage of. We won some. Hopefully, we'll win some more. Boston, on the mechanical side and the service side, is strong inside the 1 28 [ph]. New England overall is much better than it's been. And I think some of that is just the release of pent-up demand and happening. Washington is a little slower than it's been. There are some good non-res activity in commercial office buildings and even high-rise residential. But the government is spending less than it was. And it's become an increasingly difficult business to do better with. Texas, I'd love to see that debate, Texas someday, because Texas is doing terrific and we find a great market down there, and we have great operators in that market. I think the only thing worse out about here at EMCOR is we don't have more capability in Texas on the construction side. It would allow us to participate even broader. California is okay. Again, the energy efficiency side and some of the alternative energy work has helped us. As for going wage work, the tech sector has helped us. We're well positioned on the Mechanical Services side on -- in Silicon Valley, so that's doing okay. The Midwest is sort of a status quo market. We have some unique capabilities on the fire protection side coupled with -- there was a lot of carnies in the Midwest, with contractors going out of business through the recession so we stayed busy, really, because of a consolidating market. [indiscernible] about the Southeast, the Southeast continues, I think, to be a net winner as some industrial work comes back to the States. We've been involved in some plant rehabs and refurbs, and we're -- have some capability down there that we didn't have before, and we're looking to take advantage of it here in the future.
Operator: Your next question comes from the line of Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Most of my questions have been answered. I guess the only one I did have is, could you give me an idea of Ohmstede as you've gone on to bid and that idea about the competitive landscape you're seeing on the heat exchanger side. Is it the same players? Are you seeing any foreign competition? And then any updates you could provide on Repcon and cross-selling between Ohmstede, Repcon and your Industrial business?
Anthony J. Guzzi: Yes. Let's start with the heat exchanger. I don't think there's been any noticeable change. Here's how the market typically works. The repair side is a local business and you have to have good capabilities to not only get the exchanger to shop. Now we have cleaning capabilities down in La Porte, which helps free up the bottleneck that you would have on a lot of refinery watch stands. And you have to have the ability to work hand-in-hand with the turnaround managers and with refinery engineers to get that repaired heat exchanger back up and running. I'd say we have the same share -- or increased our share actually because of our cleaning standards and some other things over the last few years. And look, that quarter-to-quarter, you can't see that. But over a 2-year period, you can see that. As you go to the new heat exchanger build, I'd say we pretty much have held where we were. There's clearly some expansion coming. And there is, quite frankly, if we had more engineers, we'd be able to do more new heat exchangers. Where we compete best is whether it's either a short-term heat exchanger or a special alloy or special capability versus what we've done before. There is foreign competition. There has been foreign competition even before we bought Ohmstede. It's something we studied carefully. Most of the foreign heat exchangers really come from Korea, and that would be a longer lead time. They can have something of 26 to 40-some week lead times, and we're typically not out that far. And then, again, the -- so I'd say repair, we're probably doing a little better, and we'll do better as we add more capabilities. Of course, we've got more feet on the street you would argue, with the Repcon acquisition now to bring teams back to our shops. And the local guys are the same as they've always been. A couple have gone out of business. But I don't think that's necessarily different than what happens in the heat exchanger business. Our new build, I think, really is saying it's been longer lead times, they'll look for foreign competition. If you look at RSI and Ohmstede, first, let's go where I think it's most important is, how the customers and the employees view the transaction and what do they think. So let's go to the customers. Some of the bigger refiners say they like it. They like a RSI like Ohmstede, found a home with a strong, successful, financially-stable company. Second thing is, how do the employees react to it? I've got one of the most telling comments I had. The top guys are on board, and they're very good managers and they're very good leaders. I always like to use the word leader more than manager, and we have very good leaders in Ohmstede. And they're working together, and they're driving synergy every day. So when I heard it from a superintendent that when we bought RepconStrickland, it felt like they finally had a home. And that's where the rubber hits the road. And then, you talked about cross-selling. We are seeing opportunities. I'd like to draw a line between cross-selling and cross-mobilization of resources which might be even more important. Labor is at a premium so that by having these entities that we have, we can now make sure we can meet customer demand and bring the right resources, the right mix of labor to bear as our folks work together. That, to me, is worth -- even worth more to us sometimes than an expanded cross-selling opportunity because we can deliver for our customers. I think the thing we have to be careful of everyday is -- and this is something that you re-learn, unfortunately, is we get into specific opportunities. We think we have it locked, so therefore we don't bid on the next 2 or 3 opportunities because you can't be manpower short. And sometimes, the other 1 scope reduces and you could have taken those other opportunities. I think by having the seasoned management team we have across the businesses now, the reality is we'll be better at figuring out how to respond to those other opportunities, so we don't have [indiscernible] it's past when we think we have a big opportunity. If that makes any sense to you.
Operator: There are no further questions. Management, do you have any closing remarks?
Anthony J. Guzzi: No, thank you, everybody, for your interest in EMCOR. Mark, thanks for letting everybody know it's my birthday. For anybody who needs to know, you'll find out tomorrow morning. I'm 50 today. I know it's hard -- for those who've seen me, I know it's hard to believe [indiscernible] at least 40. And thank you to my EMCOR colleagues and leaders for a great quarter. And not only a great quarter financially and shows a lot of power, when most everything is firing on at least 6 of the 8 cylinders. But also, we had a very safe quarter and a really challenging circumstances. And we put more man-hours to work as a result of having the enhanced industrial presence we have under the most demanding circumstances we've ever had when you consider who we work for and the weather we had to do it in here, especially in the upper Midwest and Northeast, I would say, made an outstanding job operationally. So thanks to them. And, everybody, let's hope we have a nice, hot, terrible summer for everybody. So EMCOR can have a great summer. Thank you.
Operator: This concludes today's conference call. You may now disconnect.